Operator: Thank you. Ladies and gentlemen, welcome to the Compass Group Quarter 1 Trading Update Call. [Operator Instructions] Just to remind you, this conference call is being recorded, and your personal data will be held in the United States. 
 If you do not consent to the call being recorded or your personal data being transferred to the United States, please hang up now. 
 Today, I'm pleased to present Richard Cousins, Group Chief Executive Officer. Mr. Cousins, the floor is yours. 
R. Cousins: Good morning, ladies and gentlemen, thank you for dialing in. With me this morning, I have our Group Finance Director, Johnny Thomson. 
 I'll start by giving you a brief overview of our first quarter trading and then say a few words on the outlook before opening the call to questions. 
 Group organic revenue grew by 2.8%, in line with our expectations. We continue to see strong levels of new business wins, good retention rates and modest increases in like-for-like revenues. We've been able to move the operating margin forward slightly as we continue to drive efficiencies across the business. This was further helped by the absence of restructuring costs in our Offshore & Remote business. 
 Let's look at the regions individually. North America delivered organic growth of 7%. We saw very good growth across most sectors with particularly strong performances in our core B&I, Vending and Higher Education subsectors. And surprisingly, trading in our oil and gas business continues to be tough. 
 Organic revenues in Europe was flat. As expected, the net new business trends seen in the last quarter of 2016 continued into Q1. Like-for-like revenues remain unchanged with some pricing offsetting weak volumes in the North Sea and in France. 
 Finally, in our Rest of the World region, organic revenue declined 6.5% in the first quarter due to the expected weakness in our commodity-related business and a challenging environment in Brazil. 
 Currency movements in the quarter had a positive translation impact on revenues of GBP 924 million and on profit of GBP 74 million. If current spot rates were to continue the rest of the year, foreign exchange translation would positively impact 2016 revenue by GBP 2.3 billion and operating profit by GBP 186 million. 
 In conclusion. Compass has had a solid start to the year and our revenue and margin expectations for the full year remain positive and unchanged. Growth in North America continues to be strong. Europe and Rest of the World are performing as planned with growth weighted to the second half of the year. 
 Looking to the longer term, we remain excited about the significant structural market opportunity globally and the potential for further revenue growth, margin improvement and continued returns to shareholders. 
 Thank you, and now we'd be happy to take your questions. Greg, would you like to tell us what to do? 
Operator: [Operator Instructions] And our first question comes from the line of Kean Marden from Jefferies. 
Kean Marden: Could you provide just a little more background on margin development in the first quarter, so specifically if the group EBIT margin still up slightly excluding the one-offs. And then maybe if you can give some divisional color on trends, that will be helpful as well. 
Jonathan Thomson: Yes, Thanks. We're very positive actually about the progress we see on margin in the first quarter. I mean, we don't disclose the numbers specifically, of course, but as you know and Richard said earlier, for the full year, we're expecting the benefit of restructuring of around about 13 basis points plus some underlying progress in the business to somewhere between 15 and 20 basis points overall, and as I said, quarter 1 is holding up well in that respect. First of all, you asked about the regions, I'd say that the restructuring benefits are coming through in the Rest of the World business, which is encouraging. And of course, we're working hard, as we always do, to apply in efficiencies around the amount MAP program in both Europe and in North America, so we're seeing some underlying progress there achieved. So overall, of course, it's a tough environment, particularly on labor, but we're very pleased with the progress so far. 
Operator: And moving on to the line of Jamie Rollo with Morgan Stanley. 
Jamie Rollo: First of all, just on maintaining your full year expectations. What gives you the confidence in the acceleration in the second half? Is that pipeline or weaker comps? Secondly, this is slightly nitpicking, but North America clearly very strong, still up 7%, but a slight slowdown. Is there anything in particular behind that. And finally, are you able to give us just a couple of numbers behind Rest of World for DOR and non-DOR piece? 
R. Cousins: Jamie, did you use the word nitpicking? That's very unlike you. 
Jamie Rollo: Trying to keep on your good side, Richard. 
R. Cousins: That would be a first. Full year confidence, we've analyzed this to death because, clearly, this quarter, 2.8% is slightly below par for us. And we are very confident that the full year will see us within our range of 4% to 6%, at the bottom end, but within our range of 4% to 6%. And we will be very optimistic that in 2018 we would see an acceleration from that, just over 4%, whatever we're going to deliver this year. So the confidence really is borne out by the pipeline. I guess, the most significant would probably be the U.K. where the pipeline looks incredibly strong. I don't like using the B word, Brexit, but there is no doubt that in the period sort of April to September, the number of contracts we signed was remarkably low and what has happened since then has surprised me by the acceleration, which gives us real confidence for the U.K. for the rest of this financial year. So we feel good about being just north of 4% this year. The U.S., I think, looks remarkably strong. Canada has seen a slowdown, principally due to oil and gas. As I'm sure you know, the extraction costs, particularly in Alberta in the sands there, are high and therefore the slowdown has been really quite sharp. Other than that, however, North America is in great shape, particularly the U.S. Our pipeline there is remarkably strong. If you look at -- I mean, we were -- was it 8.1% we did last year in North America? We can't repeat that every year. Our 10-year average is 6.7% in North America. I would hope we will be a bit above that this year, consistent with Q1, so we feel bullish about that. So long ago, since your question there, Jamie, I can't even remember what it was. But something about Rest of the world, what was that? 
Jamie Rollo: It was just you often give us the Offshore & Remote... 
R. Cousins: Offshore & Remote, Johnny is a bit of an expert in that. 
Jonathan Thomson: Rest of the World, Jamie, down 6.5%. As you saw in the statements, the split goes that Offshore & Remote for the quarter was negative 20% and the non-Offshore & Remote part was a growth of 2%. Obviously, the Offshore & Remote part, as we know, is -- takes some time for the impact of commodities prices to wash through the business. And as the quarters go on during the course of this year, we'll start to see those negatives reduce. And we believe that during the course of 2018, we'll start to see that business turn back into positive territory. Australia is obviously the biggest factor in that. As you know, this quarter is when really we're taking the biggest hit from the construction into production. However, I was in Australia a few weeks ago and we're feeling positive about the way we're rebasing the business at the moment. The non-Offshore & Remote elements of the business, Healthcare, Education, B&I, are really starting to motor well and so we're really confident that Australia, again in 2018, is going to turn into the positive territory and be a more balanced business for the future. 
Operator: And moving on to the line of Jeffrey Harwood with Stifel. 
Jeffrey Harwood: Some of my questions had been answered, but I wondered within Europe if you could touch upon the performance in France and Germany, the #2 and 3 countries there, please? 
R. Cousins: Yes, steady as she goes. France, the volumes are a bit dull, if I'm honest. They've become, obviously, has taken a little bit of a hit with the terrible terrorism 12 months ago or less in some places, so there's certainly been some like-for-like pressure there. But France is a good business, well run, the margins are above average so it chugs along steadily, but just a tad disappointing. Germany, as I'm sure we've told you before, is very well run. Good margins, but no growth. However, I think, that the business units that Dominic has created means that we've merged effectively Germany, Austria and Switzerland to create that. That's allowed us to take out yet more costs. We're able to reinvest that -- some of that into sales, so we are adding to our sales team in that sub-region. So I do think Germany and Austria and Switzerland will come through, but probably only hit the European average rate, that's where we would think we would be in a couple of years' time. 
Operator: And moving on to the line of Vicki Stern with Barclays. 
Vicki Lee: Couple of questions. Firstly, just on Rest of World, Brazil, I think you called out still very tough, but just how you're seeing the shape of that over the rest of the year in terms of volumes in particular. And also just on cash returns, leverage, et cetera, obviously quite a slow start to the year in terms of the share buybacks. How should we think about your commitment to the 1.5x leverage? And how close you'll get to that during what point of the year? 
Jonathan Thomson: On Brazil, as we said before, Brazil is tough and continues to be tough. Our employment now has reached around 12%, I think. We were talking about it yesterday. And therefore, being heavy weighted in the B&I sector in Brazil as we are, that obviously impacts our volumes. So volumes are still tough. And as we go forward, of course, we would expect the volumes, comparatively speaking, to get a traction better. And I think, if we're being honest, we say that we could probably be a little better on MAP 1 retention, too, so we're working very hard on that aspect as well. On the cash returns, we have spent GBP 12 million in quarter 1 on the share buyback program. I just confirmed that nothing's changed in terms of our use of cash and neither our targets leverage levels, which were being around about 1.5x. So at the moment we're cautious with the buyback. Of course, with all the volatility, particularly in FX, we don't want to get ahead of ourselves and we're continuing to review where our options are for the second half of the year. We'll get back to you on that. 
Operator: And moving on to the line of Wyn Ellis with Numis. 
Wyn Ellis: Actually most of my questions have been answered as well. But one question I wanted to ask was just what your feeling was about the Trump administration, what that will mean for you, your U.S. business, maybe ObamaCare or other things. But just your thoughts generally on that would be appreciated. 
R. Cousins: Sorry, who? I don't think we have an intelligent view. Our U.S. business, I have to tell you, is in great shape. We were there for a week back in December. What I like about it is it's the balance across, we talked before, 24, 25 subsectors. We're seeing steady, disciplined growth across the whole of our business. Whatever happens to the U.S. economy, people have got to eat, outsourcing just moves quietly forward. I'm very bullish about the U.S. What will be, will be politically, won't it? 
Wyn Ellis: Are you starting to see like-for-like growth then? Now is that reasonable to assume that, that's the strongest area for like-for-like growth across the business? 
R. Cousins: Do you really think our business turns that quickly? We serve 5 billion meals a year and people -- this is a slow-moving business. So have we noticed any upticks since inauguration? How good you think our data is? I have no idea. 
Wyn Ellis: Don't know. The U.S. economy has been reasonably buoyant for a while. The employment growth has been continuing. I'm not saying that it's just recent, but I'm just wondering whether those trends are picking up and you're starting to see some genuine like-for-likes. 
R. Cousins: I think our U.S. business is seeing good like-for-likes for some years now since the trough of '08, '09. We put a lot more effort. We had a big conference on it in 2013 into MAP 2 and I think we've been rewarded for that. If anything, I think, in the tech sector where we're probably overweighted and have enjoyed it, we've seen volumes coming down a fraction because it's just been booming for the last 3 or 4 years. But I think if we look at the U.S. as a whole, the like-for-likes continues to be steady, positive. I don't think you should expect big pluses or big negatives from that trend. 
Operator: [Operator Instructions] Our next question comes from the line of Mark Irvine with -- Fortescue. (sic) [Panmure] 
Mark Irvine-Fortescue: I appreciate this is trading update and you might not want to cover it, but just on the Tesco-Booker deal, if it were to go ahead, can you offer any first thoughts about potential impact to the supply chain? 
R. Cousins: No. 
Mark Irvine-Fortescue: I'll respect it. 
Operator: And moving on to the line of Jarrod Castle with UBS. 
Jarrod Castle: Two, please. One, if there's any commentary in terms of M&A pipeline. What you're seeing there or not? And secondly, just on Rest of the World, you seem very comfortable in terms of the countries you currently operate in. Are there any gaps that you might be looking to enter when you look at your regional mix? 
R. Cousins: Okay. Let's do those in reverse order, I'll talk about Rest of the World and then Johnny M&A pipeline. No, it's an interesting question. We keep this under constant review. We think our Rest of the World portfolio is about right. And do we want to enter new countries? We might enter one, but there again, we might exit one. I think, it's an important discipline for us as we've done pretty quite well over recent years that we don't diversify our model. We keep it nice and tight. So our core thinking is just that. In terms of M&A, Johnny? 
Jonathan Thomson: Yes. I guess, over the last 5 to 10 years, we have spent on average around about GBP 200 million a year on M&A. As you know, the first quarter of this year, we spent GBP 25 million. Of course, it's lumpy. At this stage, we'd probably expect to be spending somewhere at the GBP 100 million to GBP 200 million range for the full year. The pipeline, well, the pipeline of small bolt-ons is encouraging. There are some things in there that we're looking at... 
R. Cousins: A couple of middle-sized ones as well. 
Jonathan Thomson: And as we said before, I think we're probably just a fraction more ambitious about Europe, so looking at a couple in Europe. But again, just to emphasize, they are the small- to medium-sized. So yes, it's encouraging, but the guidelines for GBP 100 million to GBP 200 million are probably still a sensible assumption for the moment. 
Operator: Thank you very much. And there are no further questions in queue. And with that, I would like to return the conference call to the speaker. 
R. Cousins: Okay. Thank you for your time, everybody. Appreciate that. And we'll see you in mid-May. Thank you. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for attending. You may now disconnect your lines.